Operator: Good day, ladies and gentlemen, and welcome to the Insight Enterprises’ First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session; questions will follow at that time. I’d like to turn the call over to your host, Glynis Bryan, Chief Financial Officer. Please go ahead.
Glynis Bryan: Welcome everyone and thank you for joining the Insight Enterprises’ Conference call. Today, we will be discussing the company’s operating results for the quarter ended March 31, 2014. I am Glynis Bryan, Chief Financial Officer of Insight and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release that was posted this afternoon and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com under our Investor Relations section. Today’s call, including the question-and-answer period, is being webcast live and can be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, May 1, 2014. This call is the property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Insight Enterprises is strictly prohibited. In today’s conference call, we will refer to non-GAAP financial measures as we discuss the first quarter 2014 financial results. You will find a reconciliation of these non-GAAP measures to actual GAAP financial results, including the press release issued earlier today. Finally, let me remind you about forward-looking statements that will be made on today’s call. All forward-looking statements that are made in this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today’s press release and in greater detail in our annual report on Form 10-K for the year ended December 31, 2013. With that, I will now turn the call over to Ken to give you an overview of our first quarter 2014 operating results. Ken?
Ken Lamneck: Thank you, Glynis. Hello everyone. Thank you for joining us today to discuss our first quarter 2014 operating results. In the first quarter, solid sales execution and strict cost discipline combined with improved demand trends globally, resulted in strong double-digit earnings growth year-over-year. consolidated net sales grew 3% year-over-year to $1.2 billion. Gross profit of $164 million was up 4% year-to-year and gross margin expanded 10 basis points to 13.5%. SG&A expenses increased 1%. Earnings from operations, excluding severance and restructuring expenses, increased 24% to $21.3 million. On a GAAP basis, earnings from operations increased 46% to $21 million and diluted earnings per share excluding severance and restructuring expenses increased 70% year-over-year to $0.28. On a GAAP basis, diluted earnings per share to also $0.28. Within these results, our North America business delivered top line growth 5% year-over-year in the first quarter. We saw increased demand for notebooks, desktops and mobile devices in the hardware category and higher sales of business productivity and virtualization products in the software category. By client group, we saw growth in spending by large enterprise in mid-market clients, partly offset by decline in the public sector. Gross profit grew 5% and gross margin increased approximately 10 basis points year-over-year to 13.8% in North America has increased product margins driven by our profitability initiatives and strong execution under certain partner programs changes offset the adverse effect of referring that partner program changes in the software category. Additionally, we continued to manage our discretionary costs in North America and that disciplines help drive earnings from operations, up 37% year-over-year in the first quarter, excluding severance in both periods. In EMEA, net sales decreased 5% year-over-year in constant currency, due primarily lower sales of business productivity software to large enterprise clients. So we are pleased with the progress we are seeing in our UK hardware business, as our sales improvement plans are gaining traction and our team continues to execute well against recent partner program changes in the software business. All of this from a bottom line performance ahead of our expectations in the first quarter. We expect further improvements in the earnings results in EMEA in the back half of 2014. In Asia-Pacific, first quarter net sales increased 6% year-over-year in constant currency. Gross profit increased to 11% in constant currency due to higher sales of enterprise agreements. On the expense side, client investments in our IT systems integration project, which is scheduled to include in May of this year led to a slight decline in earnings from operations year-over-year. I will now hand the call back over to Glynis who will discuss our first quarter financial results in more detail. Glynis?
Glynis Bryan: Thank you, Ken. Starting with North America, net sales in North America was $781 million in the first quarter up 5% year-to-year. Sales in our hardware category increased 4%, software sales increased to 11% and services sales declined 14% year-to-year. Gross profit in North America increased 5% year-over-year to $107 million and gross margin increased 10 basis points to 13.8%. Selling and administrative expenses in North America in the first quarter was flat year-over-year at $89.2 million, though IT spending resulting from the completion of our North America IT systems integration project was offset by higher teammate costs and variable expenses on higher gross profit. We also recorded approximately $80,000 in severance and restructuring expenses in this segment in the first quarter, compared to $1.1 million in the same period last year. earnings from operations in North America were $18.2 million in the first quarter of 2014, up 37% from $13.3 million in the same last year, excluding severance expenses in both periods. Moving on to EMEA, our new operating segment reported net sales of $388 million, flat year-to-year in U.S. dollars. In constant currency, net sales decreased 5%. Also in constant currency, hardware sales increased 1% year-over-year and we continue to see improvements in our hardware business in the UK. Sales of software decreased 8%, reflecting lower volume with large clients and services sales decreased 17% also in constant currency. Gross profit in EMEA was $49 million, an increase of 1% year-over-year in U.S. dollar, but it decreased of 4% in constant currency terms, with gross margins increasing 10 basis points to 12.7%. This increase in gross margin was driven by a higher mix of hardware sales, which in EMEA are generally transacted at higher gross margin, partially offset by the effects of lower service sales. Selling and administrative expenses in EMEA in the first quarter were up 3% in U.S. dollar term and down 2% in the constant currency. This decrease year-over-year was primarily driven by lower employee costs, resulting from recent restructuring action. In the first quarter, we recorded net severance expense of $260,000 in this segment, down from $1.7 million reported in the same period last year. Excluding severance expenses earnings from operations in EMEA were $2.2 million in the first quarter of 2014, down from $2.9 million recorded last year. In APAC or Asia-Pacific operating segment, reported net sales of $46 million, down 4% year-to-year in U.S. dollar term and up 6% in the constant currency. Gross profit was $7 million, which was flat year-to-year in U.S. dollar but up 11% in constant currency term.
 : Moving onto cash flow performance. In the first quarter, our operations generated $66 million of cash, up from $16 million in the first quarter of last year. This increase is due generally to lower working capital requirements in the business. We invested $2 million in capital expenditures in the first quarter, down from $6 million last year, reflecting lower IT spending, as we completed our EMEA and North American IT systems project. And we spent $27 million to repurchase approximately 1.2 million shares of our common stock. As of March 31, we have $16.5 million remaining under the existing authorization. We ended the first quarter with a cash balance of $181 million of which $161 million was resident in our foreign subsidiaries and $89 million of debt outstanding under our debt facility. This compares to $152 million of cash and $61 million of debt outstanding at the end of Q1 2013. And from a cash flow perspective, our cash conversion cycle was 24 days in the first quarter, a decrease of one day from last year.
 : I’ll now turn the call back to Ken. 
Ken Lamneck: Thank you, Glynis. Moving onto our outlook for 2014. We believe our first quarter results combined with improved market trends position us well to pursue our financial goals in 2014. For the full year of 2014, we continue to expect the global IT market to grow in the low-to-mid-single-digit range. We expect our business to grow slightly faster than the market. As a result, we expect earnings per share for the full year of 2014 to be between $1.97 and $2.07. This outlook reflects the adverse effect on gross profit of previously announced partner program changes in the software category between $15 and $20 million and an effective tax rate of approximately 38% to 39%. This outlook does not reflect severance and restructuring expenses or the non-cash impairment loss related to our Illinois real estate assets that we expect to record in the second quarter. Thank you again, for joining us today. I want to thank our teammates, clients and partners for their dedication to Insight. That concludes my comments. We will now open the line up to your questions.
Operator: (Operator Instructions) Our first question comes from the line of Matt Sheerin of Stifel. Your line is open. Please go ahead.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Yes, thank you. Good afternoon, everyone. so a question Ken, on the demand trends that you are seeing in North America that 5% growth. You talked about strength in notebooks and desktops, and are you seeing signs of a PC refresh cycle with some of that related to – some expenditures from customers ahead of the Windows XP expiration and do you see that continuing throughout the year?
Ken Lamneck:
 : We don’t have a real good view of how many are left to do that. But we are certainly seeing that there’s certainly some runaway left for that to occur, because it comes pretty costly for clients, at this stage to get additional support from Microsoft for maintenance that you’re going to need for security patches and such. So yes, I definitely would see that, we’ll see that continuing for certainly the next few quarters.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Okay. And I know I appreciate you just give guidance for the full year or not quarter – quarterly guidance, but are you expecting as you head into the June quarter, you’ve got a month under your belt now. Are you seeing typical seasonal trends in North America and Europe, both on hardware and software?
Ken Lamneck: Yes. I would say that that’s a fair assessment as we look at Q2, that’s pretty much in line with what we had forecasted, and you could see that we stay consistent with our annual outlook as far EPS is concerned.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: In your commentary about growing slightly faster than the market, so far it looks likes you’re growing just in line with the market and your upsells are still – the growth area is still relatively slow. So are you expecting acceleration in the businesses in the back half of the year?
Ken Lamneck: Yes. For certainly, the European business, we definitely have indicated that would be more of a back half of the year type acceleration that would occur. And we think that kind of how much data you look at North America that were pretty much in line with where that market growth is today.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Okay. And then your services business was down as a percentage basis slightly in North America and more so in Europe, is that because of large service engagements were rolling off and what’s your outlook for your services business in general?
Ken Lamneck: Yes. That certainly uses the case when you have big roll-offs and that’s continued to play just in that regard, but we’re very focused on continuing to build that pipeline and we invested pretty considerably in that business over the last few quarters to generate more and more of the pipeline for that. So we are certainly optimistic that will continue the trend will start to reverse itself and we’ll start to see growth here towards the second half of the year.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Okay. Thanks a lot.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Brian Alexander of Raymond James. Your line is open. Please go ahead.
Brian G. Alexander – Raymond James & Associates, Inc.: Okay. Thanks. Ken, you talked about the end recovering, but if I look that hardware business, it was up 4% in North America, but that was a little bit slower than Q4. and I think comparison was a bit easier in Q1, it’s still reasonable growth and a deceleration. And then in Europe, I think hardware was up about 1% in constant currency which I think is pretty consistent with last quarter. So I guess what are you hearing from customers that gives you what appears to be maybe a little bit more optimism that we’re seeing the recovery particularly on the hardware side and within the commercial business and then I have a couple of follow-ups.
Ken Lamneck: Yes, I would say as to really look at it from a category point of view Brain, which you certainly do a good analysis on that, but sorry to say certainly desktops, notebooks are certainly growing faster than the average market as you know from what you’re seeing. I would say that the server market continues to see some slight growth, but that’s certainly a more challenging area, as well as the storage area, which you’ve certainly done a lot of reporting on, to those areas which of course, a pretty significant parts of the total hardware growth market and then of course, the next biggest growth market would be the networking area from a growth point of view. And I think that we saw that to be probably a little bit, I would say a little bit more muted as far as the growth that we saw in Q1 on the networking side. but we continue to remain pretty bullish on that and we had a pretty strong year in networking last year and we think that’s certainly going to be fine for the rest of the year. So, it’s really, primarily the growth I think a lot to do with the XP thing, which you talked about, but the desktop, notebook growth is certainly pretty considerable in the market at this stage the wildcards out there is what will happen with the server and storage markets and we do think that networking will come back towards the second part of this year and continue to show some good growth.
Brian G. Alexander – Raymond James & Associates, Inc.: Anyway you think maybe, some ballpark that affects the PC business did grow desktop and notebooks and buying relatives to some of our hardware growth?
Ken Lamneck: A little hard to tell until we see what you really get information from HP and so forth, when they start to give us those kind of indications. but certainly it looks to be, I would say that it’s probably high single digits potentially somewhere, mid-to-high single-digit that I think we might see PC growth.
Brian G. Alexander – Raymond James & Associates, Inc.: Okay. I was referring more to your growth in the quarter than the overall industry.
Ken Lamneck: I’m not sure we share that information [honestly] (ph).
Brian G. Alexander – Raymond James & Associates, Inc.: Okay. That’s fine. And then just on the expense side, you’ve done a really good job of holding expenses flat early in the last several quarters. And so now that you are seeing better growth ahead. I’m just curious how you’re thinking about investing potentially more in the business and maybe achieving more of a balance between revenue growth and expense growth going forward, given that you think you’re going to grow at least as fast as the market, which is expected to grow low-to-mid single digits. So what I’m getting that if you think you’re going to ramp up expenses to grow kind of in line with revenue or do you still expect to hold expenses relatively flat.
Ken Lamneck: We’ll control, we’ll keep the expenses certainly in control. I think what you’ll see is to continue certainly invest in clients they’ve seen and technical people to support that growth, and then we’ll be very diligent of course, on the support side of that business. so you might see SG&A increase slightly, but very much more in line with where we see the growth coming.
Brian G. Alexander – Raymond James & Associates, Inc.: Okay.
Ken Lamneck: Glynis, you want to add anything there?
Glynis Bryan: Yes. The only thing I would add, Brain is that, we have a stated strategy, because we’re going to continue investing as Ken said, in the front end, which provide to sales, pre-sales resources, et cetera, in terms of delivering that higher growth. we have an impact in the overall business coming through from the partner four companies that we talked about, that is going to be probably largest in Q2, as you look at our numbers on a go-forward basis that will ultimately impact the overall growth. So it’s a deliberate strategy to continue investing in the phase of the $15 million to $20 million number have been changed in terms of an overall impact that we envision having on the numbers, the biggest quarters would be Q2 and Q3 with regard to that impact.
Brian G. Alexander – Raymond James & Associates, Inc.: Okay. Then I was actually going to ask the final question on the gross profit headwind from that program change and the $15 million to $20 million for the year, I wanted to ask how much of that was realized in the first quarter, a part of the reason I asked is that was actually positively surprised by the gross margins being up year-over-year. Despite that headwind and despite more hardware mix and specifically PC mix, which I assume is lower gross margin in a lower services mix, so mixed against you and you were able expand gross margin. So maybe if you could just dive a little bit deeper into those drivers that will be helpful? Thanks.
Glynis Bryan: So we had a little bit slightly better execution again, modestly better, modesty better execution against our program changes than we had anticipated, specifically in Europe. And I think that our anticipation is, is that we will see more of that program change impact in Q2 and Q3, which are the largest quarters for that program change impact in 2014. we said previously that we think as the headwind of between 25 basis points to 50 basis points, as we go through the year and we see how our remediation efforts are going is possible with that change. But as of right now, we are saying that we think that that $15 million to $20 million is going to be roughly, the 20 basis points to 25 basis points that we’ve talked about, 25 basis points to 50 basis points that we talked about. we also have various profitability initiatives that we are pursuing here in North America that we’ve shown some fact that with regard being able to maintain our driving plan or possibility. We’re using that same process in EMEA and would expect to be able to minimize some of that impact in EMEA going forward. but overall, our anticipation is that our margins will be relatively flat for the year, and that’s interested in the guidance that we have reaffirmed today.
Brian G. Alexander – Raymond James & Associates, Inc.: Gross margins, operating margins are…
Glynis Bryan: Gross margins, we got the both…
Brian G. Alexander – Raymond James & Associates, Inc.: Yes, okay. And can you just share with us how much would be handled with experience in Q1? I understand it wasn’t quite before run rate, but can you give us that amount?
Glynis Bryan: $2 million to $4 million.
Brian G. Alexander – Raymond James & Associates, Inc.: Okay.
Glynis Bryan: $2 million to $4 million.
Brian G. Alexander – Raymond James & Associates, Inc.: Got it, okay. Thanks very much.
Glynis Bryan: You’re welcome.
Operator: Thank you. Our next question comes from the line of Matt Sheerin of Stifel. Your line is open. Please go ahead.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Yes. just a follow-up on your IT integration efforts, which sounds like you have completed that in North America and in Europe. Are there certain expenses that are going to roll off because of that, and it doesn’t look like you’ve had any disruption to your operations because of the integration. Are you expecting any positive impact in terms of the efficiencies or other things from the completion of that?
Glynis Bryan: We only have the…
Ken Lamneck: Glynis, I may not give it to you. Yes, we have one piece as I mentioned that we start to complete next to APAC. So we’ll actually converge here. in a couple weeks time, we’ll convert all of our Asia-Pacific operations onto SAPs. so we feel very confident that we’re ready for that integration and that will certainly complete the process that we’ve been on here to journey has been on for the last couple of years. But Glynis let me turn it over to you as far as the impact to the financial statement.
Glynis Bryan: Yes, I think Matt, that some of the impact that you would anticipate coming out of that we’ve already experienced going through 2013 primarily. So we wrapped up North America in the second quarter of 2013 and we wrapped up most of EMEA prior to 2013, I mean in 2015, what we had was a smaller country that we did in the second quarter of 2013. So some of those benefits already are reflected, as the segments have associated with those pieces that we took in – specifically in EMEA last year. So we did get – they anticipate some benefit coming out of those as we can consolidated and drove to the one system, but some of those are already reflected in the base going into 2014.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.:
 :
Ken Lamneck: Yes. we continue to always have certainly looking and seeing how we can benefit that from our business. so we continue to do that, nothing certainly on the horizon, but that continues to be a part of the strategy going forward. So we’re still actively looking what aspects would make the more sense to our business.
Matt J. Sheerin – Stifel, Nicolaus & Co., Inc.: Okay. thanks a lot.
Operator: Thank you. (Operator Instructions) And I’m showing no further questions in queue. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program, and you may all disconnect. Have a great rest of your day.